Operator: Greetings, and welcome to the Skechers Fourth Quarter and Full Year 2024 earnings conference call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Anyone should require operator assistance, please press star zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Skechers U.S.A., Inc. Thank you. You may begin. Good afternoon, everyone. Thank you for joining Skechers fourth quarter and full year 2024 earnings conference call. My name is Jason Deese, and I lead the cybersecurity engineering team here at Skechers. I've been with the company since 2013, and my favorite style is the SKX float from our Skechers basketball line. Joining us on today's call are Skechers Chief Operating Officer, David Weinberg, and Chief Financial Officer, John Vandemore. Before we begin, I would like to remind everyone of the company's Safe Harbor statement. Certain statements made on today's call contain forward-looking statements based on current expectations, including without limitation, statements addressing the beliefs, plans, objectives, estimates, and expectations of the company and its future results and certain events. These forward-looking statements involve known and unknown risks, uncertainties, and other factors which may cause actual results to differ materially from such statements. There can be no assurance that the actual future results, performance, or achievements expressed or implied by any of our forward-looking statements will occur. Please refer to the company's reports filed with the SEC, including its annual report on Form 10-K, and quarterly reports on Form 10-Q for more information on these risks and uncertainties that may affect the company's business, financial conditions, cash flows, and results of operations. With that, I would like to turn the call over to Skechers' Chief Operating Officer, David Weinberg.
David Weinberg: Good afternoon, and thank you for joining us today on our fourth quarter and full year conference call. 2024 was another growth year for Skechers, marked by strong financial performance and profitability, the launch of innovative products, and the expansion into new categories worldwide. It also marked a significant milestone in our history, our twenty-fifth year as a publicly traded company. On a constant currency basis, Skechers delivered sales of over $9 billion, a 13% increase, and diluted earnings per share of $4.40, representing a 26% increase while recording a strong gross margin of 53.2% and achieving a double-digit operating margin of 10.1%. We also continued to return value to our shareholders through a repurchase of approximately 5.2 million shares during the year while maintaining a healthy balance sheet. We ended the year on a strong note, achieving fourth-quarter constant currency sales of $2.24 billion and earnings per share of $0.86. Our performance in the quarter was broad-based with reported sales growth of 17% in wholesale and 8% in direct-to-consumer, as well as 18% growth domestically and 10% growth internationally. For over three decades, we've upheld our core principles of delivering style, comfort, innovation, and quality at an affordable price. We have maintained this commitment while evolving and adapting to meet the needs of our customers and drive global demand. This was again evident over the past year as we broadened the category reach of Skechers' performance to deliver innovation and comfort for the core, pitch, field, green, and trail. Building on the momentum of our Skechers pickleball debut in 2022, we strategically expanded into soccer and basketball the following year. We focused initially on major markets for these global sports, while partnering with world-class athletes to gain recognition and establish legitimacy. In 2024, we expanded our soccer and basketball offering with the league academy and youth styles available worldwide. And we introduced Skechers cricket footwear and apparel to India, which are now available globally. Our athletes provide valuable feedback in the development of best-in-comfort and best-in-performance technical footwear. In 2024, we expanded our roster of elite athletes to include Premier League's Mohammed Kudis and Anthony Yolanda, La Liga's Ikar Lassada, Indian Super League's Sunil Chetri, and Turkey's national star, Baris Alper Gilmaz, as well as NBA player, Joel Embiid, and WNBA player, Wakaia Jack. These athletes join our professional golfers Max Fitzpatrick and Brook Henderson, pickleball pros, Tyson McGovern and Catherine Parental, and Major League Baseball players Clayton Kershaw and Aaron Nola among others. Additionally, we announced the signing of Ishan Kishan and Yastika Atia, two cricket athletes from the Mumbai Indians, with more cricket and soccer players joining this year. Leveraging our innovative designs, technical expertise, and commitment to comfort that performs, we see tremendous opportunities to expand beyond our existing performance footwear offering, extend our reach into new accounts and countries, and meet the evolving needs of our global consumer base. Further, we are focused on building successful signature technologies including Skechers hands-free slip-ins and Skechers ArchFit, as well as pursuing unique partnerships to unlock new market opportunities and enhance our product portfolio. These include the co-branded footwear offering with John Deere, collections with Martha Stewart and Snoop Dogg, and a collaboration with The Rolling Stones. We continue to support our diverse product offering with broad-based campaigns to engage new and existing customers. These are featured across traditional mediums such as linear and digital television, newspapers, magazines, and social media, as well as unconventional presence on stadium perimeter boards, buses and trains, airport security areas, and much more. Our lifestyle marketing efforts featured our diverse talented roster that includes Howie Mandel, Howie Long, Martha Stewart, and Brooke Burke, as well as regional ambassadors like former European footballers, Jamie Redknapp, Fabio Cannavaro, and Frank Labeouf. Influencer Lele Pons in Mexico, K-pop singer and actor Cha Eun Woo in Southeast Asia, and Spanish singer David Bizball among others. Also partnered with regional influencers and key opinion leaders to drive awareness across social media platforms. Building on our history of airing memorable Super Bowl campaigns, this year, we're planning an impactful moment with a commercial celebrating Kansas City Chiefs coach Andy Reid and his need for hands-free comfort. Believing consumers should be able to purchase our footwear in their destination of choice, we are enhancing the Skechers shopping experience in an impactful manner as we further grow our direct-to-consumer business with our first interactive performance store in Canada. And in our wholesale business with shopping shops and brand takeovers. We are focused on enhancing our distribution network for greater efficiency and reach, enabling us to deliver more innovation, drive purchase intent, and ensure that our products are available globally. Looking at our fourth-quarter results in more detail. Our record fourth-quarter sales of $2.21 billion reflected breadth across geographies and channels. Domestic sales rose 18% and international improved 10%. We saw regional growth in the Americas of 14% with continued strength in the United States and Canada. In EMEA, with growth of 25% driven by strength across nearly all markets, and in APAC, which increased 3.3%, led by double-digit growth in India, Japan, South Korea, and Thailand. This was partially offset by a decline in China. However, our diverse product portfolio and the established network of retail stores and online shopping destinations give us confidence that we will return to growth as the market recovers. Wholesale increased 17% due to increases of 31% domestically and 10% internationally. Our domestic wholesale growth reflects the continued demand for our Comfort technology products, resulting in strong double-digit increases across our many footwear product lines for men, women, and kids. Within international wholesale, we saw continued demand for innovative products, which resulted in growth across nearly all markets. Turning to our direct-to-consumer segment, sales increased 8.4% with international improving 9.3% and domestic 6.8%. For the important holiday selling period, we saw an increase in in-store shopping with growth in nearly every market, including China. For our e-commerce, the Americas and EMEA both improved double digits, while APAC was negatively impacted by the challenges in China. With the breadth of our product and global reach, Skechers branded stores both concept locations and quality malls, and outlets and big box stores in high traffic areas continue to drive awareness and purchase intent. We ended the quarter with 5,296 Skechers stores worldwide, of which 1,787 are company-owned locations, including 610 in the United States. We opened 77 company-owned stores in the quarter, including 20 big box locations in the United States, 15 stores in China, and five each in Canada, Colombia, and Mexico. We also opened our first company-owned stores in the Philippines, three in total, and our first company-owned store in Prague. We closed 33 stores in the quarter. Also in the period, 121 third-party stores opened, including 36 in China, 10 in Indonesia, seven in Australia, and six each in India, Malaysia, and South Africa. Also of note, 197 third-party stores closed in China. This brings our third-party store count at quarter-end to 3,509. In the first quarter to date, we've opened 14 company-owned stores, six of which are in China and three in the United States. We also relocated four stores, including our West Edmonton Mall location, which is now our largest concept store and includes indoor courts for both basketball and pickleball. We expect to open an additional 180 to 200 company-owned stores worldwide in 2025. From an investment perspective, our priorities include expanding our distribution centers in the United States, Europe, and China to more efficiently deliver our product and manage the expected growth in these markets. Continuing to strengthen our product offering while amplifying demand creation, and building our Skechers direct-to-consumer footprint and capabilities. And now, I would like to turn the call over to John for more details on our financial results.
John Vandemore: Thank you, David, and good afternoon, everyone. Skechers delivered another year of outstanding results in 2024 as we continued executing against our long-term growth algorithm, which is rooted in our innovative comfort technology products and a compelling value proposition. For the full year, Skechers achieved constant currency sales of $9.04 billion, an increase of 13%, and earnings per share of $4.40, an increase of 26%. Gross margins were 53.2%, and we obtained a double-digit operating margin of 10.1%. During the fourth quarter, particularly after the US elections, the strengthening of the US dollar resulted in unfavorable foreign currency change headwinds, which significantly impacted reported results where sales grew to $8.97 billion, up 12%, and earnings per share rose 19% to $4.16. Our 2024 accomplishments are noteworthy, from the rebound in domestic wholesale sales to incredible strength abroad, particularly in the EMEA region. In addition, we saw steady growth in our domestic direct-to-consumer channel following last year's impressive growth of 19%. All of this is remarkable considering the challenges we experienced throughout the year, including the difficult macroeconomic environment in China, supply chain disruptions resulting from the Red Sea crisis, and new regulatory standards abroad. Our performance is a testament to the effectiveness of our global diversification as well as the investments we have made to increase awareness and accessibility for our comfort technology products. Turning to the quarter, Skechers delivered as reported fourth-quarter sales of $2.21 billion, an increase of 13% driven by growth across segments and geographies. Direct-to-consumer sales grew 8.4% year over year to $1.08 billion. International sales grew 9.3% with strength throughout the quarter in most markets and across both retail and e-commerce channels. Domestic sales increased 6.8% following 12% growth last year, with improvements across channels. The key holiday shopping period was characterized by robust online sales and improved sequential sales in our stores. These results illustrate the resiliency of the domestic consumer who continues to choose the Skechers brand and our compelling array of comfortable, affordable footwear. Wholesale sales increased 17% year over year to $1.13 billion. Domestic sales grew 31%, the result of a healthier wholesale marketplace combined with strong consumer demand for Skechers products. International sales increased 10%, reflecting double-digit growth in most markets, partially offset by the results in China. Now turning to our regional sales, in the Americas, sales for the fourth quarter increased 14%, driven by strength in our domestic wholesale channel and steady growth in our direct-to-consumer business across nearly every market. In EMEA, sales increased 25% year over year to $478.6 million, driven by double-digit growth in both the wholesale and direct-to-consumer businesses. In Asia Pacific, sales increased 3.3% versus the prior year to $642.4 million. However, excluding China, Asia Pacific sales grew 26%, led by India delivering another strong quarter of robust gains as well as strength across channels in nearly every other market. China continues to navigate a challenging macroeconomic environment, and our fourth-quarter sales declined 11%. Gross margin was 53.3%, up 20 basis points compared to the prior year, primarily due to a favorable channel mix. Operating expenses decreased 70 basis points as a percentage of sales year over year to 45.8%. Selling expenses as a percentage of sales decreased 40 basis points versus last year to 8.9%, as we left higher spending in the prior year on brand building to increase awareness and to educate consumers about our comfort technologies and new categories. General and administrative expenses decreased 30 basis points as a percentage of sales to 36.9%, with the leverage primarily driven by improvements in distribution and outside services expenses. Earnings from operations were $165.5 million, an increase of 27% compared to the prior year. Operating margin for the quarter was 7.5% compared to 6.6% last year, and for the full year, Skechers achieved a double-digit operating margin of 10.1%. As mentioned earlier, unfavorable foreign currency exchange rates in the quarter, the impact of which is reflected in the other expense line item of our P&L, totaled $34.7 million and represented an increase of $45.1 million compared to the prior year. Our effective tax rate for the fourth quarter was 11.8%, compared to 20.3% in the prior year, reflecting a favorable mix of earnings and lower tax jurisdictions and impacts from foreign currency losses. For the full year, our effective tax rate was 16.9% compared to 18.8% in the prior year. As we prepare for 2025, an important consideration will be the implementation of global minimum tax regulations, which we will address further in our guidance. Earnings per share were $0.65 per diluted share, a 16% increase compared to the prior year on 152.2 million weighted average diluted shares outstanding. However, on a constant currency basis, earnings per share were $0.86, representing a 54% increase year over year. And now turning to our balance sheet. Inventory was $1.92 billion, an increase of 26% or $394 million compared to the prior year. In-transit inventory remains elevated, particularly in EMEA due to increased shipping times from the closure of the Suez Canal, and we continue to actively manage inventory levels in China, which improved sequentially. Accounts receivable at quarter-end were $990.6 million, an increase of $130.3 million compared to the prior year, reflecting higher wholesale sales. We ended the quarter with $1.38 billion in cash, cash equivalents, and investments, and maintain liquidity of $2.13 billion when including a revolving credit. Capital expenditures for the quarter were $133.4 million, of which $54.5 million related to investments in our distribution infrastructure, $51.3 million related to new store openings and enhancing our direct-to-consumer technologies, and $15.6 million related to the expansion of our corporate offices. During the quarter, we repurchased approximately 1.9 million shares of our Class A common stock at a cost of $120 million. And for the year, we repurchased approximately 5.2 million shares at a cost of approximately $330 million. We continue to deploy our capital consistent with our stated philosophy while maintaining a durable balance sheet and ample liquidity. Turning to guidance. As we begin 2025, we face several headwinds and uncertainties, including unfavorable foreign currency exchange rates, the emergence of global minimum tax regulations, and the depth and length of the continuing macroeconomic weakness in China. In addition, the recently announced incremental US tariffs on goods from China have impacted our visibility. And while we have not yet fully factored their potential impact and our response into the following guidance, it will likely comprise a combination of actions and vendor concessions, pricing. For the full year 2025, we expect sales in the range of $9.7 billion to $9.8 billion. Based on prevailing foreign currency exchange rates, this reflects a headwind of approximately 200 basis points or roughly $200 million to our organic sales growth rate. Earnings per diluted share are expected to be in the range of $4.30 to $4.50, reflecting both foreign currency exchange rate impacts as well as the upcoming application of global minimum tax regulations, which is anticipated to elevate our effective tax rate for the year to be between 22% and 23%. Although the precise impact remains to be assessed, minority interest is expected to decline mid-teens, and capital expenditures are anticipated to be between $600 million and $700 million for the year, as we continue to invest in our strategic priorities. This includes ongoing distribution center expansions to support continued growth, including China, which is expected to be operational at the end of 2026, and the further expansion of our North America distribution center with an adjacent one million square feet, which is expected to be operational in early 2026. For the first quarter, we expect sales in the range of $2.4 billion to $2.425 billion and net earnings per share in the range of $1.10 to $1.15, reflecting a roughly pro-rata share of the aforementioned impact from foreign currency and taxes as well as some elevated demand creation spending. While the year ahead presents many unknowns, we remain confident in our long-term strategies and committed to reinvesting in our business for sustainable and profitable growth while consistently delivering consumers the style, comfort, and quality they desire at a reasonable price. We thank you all for your time today and look forward to updating you on our first-quarter financial results, which we expect to release on Thursday, April 24, 2025. With that, I will now turn the call over to David for closing remarks.
David Weinberg: Thank you, John. The robust global demand for our diverse product led to a new annual sales record of $9 billion on a constant currency rate. The strength in our business is attributable to our differentiated market position that combines comfort, innovation, style, and quality at an attainable price. We continue to advance our product innovation with comfort technologies across our collections, from extensions in Skechers hands-free slip-ins to our existing performance footwear offering, as well as expanding the portfolio, including our latest edition of Skechers Cricket in India. While we remain focused on our core business, we believe our performance division with basketball, soccer, golf, running, and pickleball footwear will become an increasingly important part of our growth story globally. To meet the evolving needs of consumers worldwide, both now and in the future, we are investing in our operations. This includes improved operational capabilities with the expansion of our distribution centers in the US, China, and Europe, delivering an exceptional customer experience through our direct-to-consumer channel and increasing our points of sale through our valuable retail partnerships. We believe our strategic product marketing and operational plans executed by our dedicated team will result in notable achievements and continued profitable growth in the years to come. As always, we are grateful for the contribution of the entire Skechers organization. Now I would like to turn the call over to the operator for questions.
Operator: Thank you. We will now be conducting a question and answer session. You may press star two to remove yourself from the queue. For participants using speaker equipment, it may be necessary to pick up the handset before pressing the star keys. One moment while you poll for questions. And our first question comes from Jay Sole with UBS. Please proceed with your question.
Jay Sole: Great. Thank you so much. And John, thanks so much for giving me guidance on 2025 in the first quarter. I just just looking for a little detail. If you're thinking about gross margin for fiscal 2025, you know, what kind of outlook, you know, should we think about when it comes to modeling gross margin? Thank you.
John Vandemore: Yeah. First of all, I realized there's a lot going on in the guidance, which is why we try to elaborate a bit. The tax rate is definitely something I would encourage everyone to take a look at. The emphasis on global minimum tax regulations is pretty significant in the year. So that's certainly something to be cognizant of. I think if we look at the gross margin, I mean, one of the things we're most proud of over the last three years is the accretion we've delivered through gross margin starting at a product level and then carrying through the rest of our business channels within wholesale and in direct-to-consumer. I would say, you know, we're not anticipating a material change in the gross margin overall. You know, right now, as we look, the business looks fairly balanced in growth. So we might not see as much of that incremental accretion from the emphasis on international and DTC that we've talked about historically, but that's a good thing because we're seeing strong growth, you know, across the channels before us. Now, you know, I will say in the quarters, we may see some fluctuations. Certainly, we need to understand more fully how the recently enacted tariffs are going to unfurl throughout the year. But we do believe we have the ability and have shown in the past to compensate for that and defend these margins. So, you know, more than anything else, I would say, you know, looking for stability overall. There may be some small variability on a quarter-to-quarter basis, but overall, we think the year should offer us a continued opportunity to appreciate the gross margin improvement we've made over the last three years.
Jay Sole: Alright. That sounds great. So there's a lot of information in that answer. You're saying, basically, that the mix impact that you've been seeing to DTC and also international, year, maybe you're gonna see balanced growth across channels and also across geographies. So, you know, that's one reason we should think about gross margin, you know, kinda and it sounds like similar sort of the last year is basically I think, John, what you're saying, if I'm correct.
John Vandemore: Yeah. That's definitely right.
Jay Sole: Got it. Alright. Super. Thank you so much.
Operator: Thank you. And our next question comes from Laurent Vasilescu with BNP Paribas. Please proceed with your question.
Laurent Vasilescu: Oh, good afternoon, David and John. Thank you very much for taking my question. I wanted to follow up on Jay's question about margins. I might be modeling this wrong, but it looks like you don't guide your EBIT margins, John, but it looks like it implies operating margins for the year to be down about 150 basis points. So I'm trying to square this away with the answer to Jay. If gross margins are gonna be somewhat flattish, is there something in the SG&A that is a source of pressure to the operating margin?
John Vandemore: I think that sounds a bit much to us. You know, our objective is obviously just to maintain this recently achieved double-digit operating margin. You know, if there's gonna be some push and pull on factors in the business that, you know, we don't quite control, particularly around foreign exchange. We're also obviously monitoring China in a material way, and we do know that we want to be aggressive in managing that inventory as we were this quarter, and it was down sequentially reflecting that. So what you mentioned sounds a bit rough. I would probably suggest that, you know, our objective is to guide to flat. You know, if we get there, I think that'll be an indication that, you know, we saw some cooperation in situations like FX in China. If we're gonna be off from that, it I don't think it's materially different rate than what we delivered this year. And again, our goal is to kinda sustain that and move that forward, but, you know, there's some factors that are beyond our control we need to consider.
Laurent Vasilescu: Okay. Very helpful, John. And then US wholesale, another great quarter. I know you've given a long-term target to grow that channel mid-singles. Is that the right assumption for this fiscal year? Do you kinda lap those growth rates in 2024 so it could be actually lower than that? And then just a housekeeping question on FX. I was a little bit surprised FX was a 21 cent hit to the fourth quarter. Just to understand, what's the implication? What is your FY 2025 and first-quarter guide embed in terms of FX on EPS with current spot? Thank you so much.
John Vandemore: I'm pretty sure that was more than one question, Laurent. I would say, you know, first and foremost, you mentioned the tremendous rebound we saw on the domestic wholesale side this year. And I think that's worth mentioning again because the wholesale team here did a great job, backed by a fantastic product, and excellent marketing. And to deliver on the back of a very challenging year a rebound like we've seen is pretty phenomenal. And certainly, our thanks go out to the entire team for delivering that. I think as you look into this year, I do believe we're gonna start gravitating back down toward that longer-term horizon of kind of a mid-single-digit growth number for wholesale. So I'd say that's a good number to consider. But, you know, obviously, we're also pushing to do better than that. There's certainly opportunities out there. So I wouldn't be shocked if it's a little bit above that this year. What it's not gonna be like is this last year where, you know, we had such fantastic nearly 20% growth. That's pretty amazing, and that would be hard to duplicate in the current environment of any wholesale market at this point. As you look to next year, it's difficult to project out an FX impact with perfect accuracy because that would presume we know exactly where all the currencies are gonna be and, you know, frankly, where all the revenue is gonna come from. I would tell you it's a sizable impact. It's probably gonna be on the order of between 15 and 20 cents right now as we look forward. And again, that's, you know, from the fairly pronounced move we saw, you know, after the US elections, the strengthening of the US dollar abroad. It hit us very, very much so in the fourth quarter beyond our expectation well. And that simply comes from the transactional impact of having a lot of balance sheet items that are denominated in foreign currencies and how those get remeasured. And I'll note, this is a pretty extraordinary environment. I don't think there was a currency that didn't weaken relative to the US dollar. And, you know, in some instances, at high single-digit levels over a very short period of time. That's why we were hit. We'll benefit from that when things turn around, but in the short term, it impacted us, which is also why I think you need to look to the headline EPS we mentioned. Certainly, the as-reported results were below what we had previously guided. But if you adjust for the extraordinary impacts of FX, you can see we were well above that both on the sales side and on the earnings per share side. So I think, you know, recognizing that that was a fairly material, sizable, and on short notice impact for us to deal with is important.
David Weinberg: I should also note that the balance sheet items don't replicate. Even if the currency doesn't get any better. So we're really talking about the impact to volumes and some of the profitability. The balance sheet items go away, so, you know, it takes a little bit of the issue away and gives you some upside as they come back.
Laurent Vasilescu: Okay. Very helpful. Thank you very much for all the color, and best of luck.
Operator: Thank you. Our next question comes from Alex Straton with Morgan Stanley. Please proceed.
Alex Straton: Perfect. Thanks so much. I just wanted to focus quickly on the international part of the business. Looks like revenue decelerated a bit quarter over quarter. Just trying to understand if something changed there as well as what you're assuming for 2025. Then just secondly on this tax change, is that something that we should assume going forward, or does something change next year? Thanks so much.
John Vandemore: Yeah. On the international side of things, particularly in this quarter, you know, quite frankly, China was the drag. We mentioned it was down about 11%. You know, really absent China, maybe one or two other markets, what we saw, I think David gave comments to you on our prepared remarks, was very broad strength across the world across geographies, across channels within the geography. So anything I would tell you, the international market felt very, very robust for us. And I would even say that we left a little bit on the table due to some delivery time frames that weren't achieved. So we feel really good about where international was this quarter, where it's going. China continues to be the challenge that, you know, in its size and scale gives it a disproportionate impact, particularly in the Asia Pacific region. As we look forward to the year, I think that's gonna be the swing factor. You know, we still expect, you know, a mid to high single-digit maybe teens level of growth. That's gonna be FX impacted though. So when you think about the FX impact overall, we mentioned it was probably around a $200 million headwind going into the year. Obviously, that only applies to the international market. So it's a heavy impact as it stands right now, and we'll update that view as we go along throughout the year because the extent, you know, rates change back or move materially from here. You know, that would be a tailwind if the dollar gets a little bit weaker. On the global minimum tax, that's a new tax regime that's going in across the globe. I think, you know, we're probably earlier on the curve to talk about that with you all because we have been very tax efficient historically. And it very much matters which jurisdictions you've leveraged and how they apply the OECD's global minimum tax. But this is gonna be a global event. You know, you've heard some chatter about it in the recent administration. Some dissatisfaction about it, but as it stands, the way regulations are established, there's going to be, you know, almost no haven below that 15% and that's just gonna naturally push up our rate. You know, we're gonna take some measures to mitigate that in the near term, but it definitely will likely become a forthcoming kind of base rate, and I think you're gonna see that from a lot of other companies as well. The one caveat would be, you know, it is subject to, you know, regulatory and administration pushes and pulls. So we'll see if there's any change on that. But the prior administration was a big supporter of global minimum tax regimes and now they're coming into effect.
Alex Straton: Thanks so much. Good luck.
Operator: Thank you. And our next question comes from Adrienne Yih-Tennant with Barclays. Please proceed.
Adrienne Yih-Tennant: Great. Thank you very much. John, can you talk about you had mentioned the demand creation. You're gonna have a little bit of a higher demand creation. I thought last year, you had actually anniversaried quite a big rise. So just see if you can direct us where that's going. And then where do you see, if you can, sort of any signs of China stabilization? What are you doing there to mitigate sort of, like, the inventory supply demand phenomenon there? And then my final one is just remind us what are the mitigation strategies on the tariff? I know you do quite a bit of sales in that Asia region. So probably half of what you make there can probably be redirected into the APAC region, not to the US. But just remind us, please. Thank you.
John Vandemore: Okay. I'm pretty sure I'm gonna have to have you review one of those questions. Let me talk about tariffs first because I assumed this was coming. You know, we've talked long for a long time about the strategies we employed last time we talked about tariffs, which ironically enough was about four years ago. And we're gonna apply the same tactics. And that involves in some situations, redirecting origin and manufacturing relationships to avoid to optimize for tariffs. Certainly gonna go have conversations with our vendors in some respects, foreign exchange in the strength in dollar helps with that. And then, you know, we'll look at price. I think all of those have to be tools available to us if these rates stay in effect. Or, you know, if the worst case happens and things go forward, you know, more severely. So we're prepared to deal with those. We will deal with those. We have a little bit of time because we, you know, the inventory we have on hand today is cleared and it won't be subject to those higher rates. And as we've seen, it seems like these policies can change relatively quickly. But if they endure, that's the approach we're going to apply. On the marketing, I would say, you know, it's a little bit of a timing within the year. And the desire to be a bit more focused early on. What we saw last year, ultimately, quite frankly, was very good success. On the incremental marketing spend. I would say on the year, you probably won't see a material difference overall, but we're a little heavier weighted in the first quarter. We do have a spot coming up this weekend, which, you know, unfortunately isn't free. But other aspects of our strategy are certainly in reinforcing the messaging around our new categories and our comfort technology products. I think your last question is about China. Look, I think the team's working very diligently there to address what they can in the market. But stepping back, we should all recognize this is a macroeconomic event. Not particular to one brand or one category of brands or one category of shoes or styles. And so some of this is gonna be beholden to the overall improvement, you know, over the course of time in that market. We've already started the process of looking at how we make sure that our inventory stays fresh. That necessarily requires us to move inventory a little bit quicker than we might, and we've got plans for that. We did a little bit of that in the fourth quarter. We'll do more in the first quarter with an eye towards getting back in a position where we can make the free flow of new and exciting goods, you know, into the market easily. And we also have some of the strategies we talked about from a marketing perspective will be in the China market as well to attempt to spur demands for awareness around some of our comfort technologies that probably still have a lot of room there to go from an awareness perspective, and we think ultimately will be a very good fit with that market. But just given the last year, it's been a little bit tough to be able to put that messaging forward in the right way.
David Weinberg: I'd also just like to add on the tariff situation. We've been dealing with tariff situations in other parts of the world. Right? As we are one of the larger businesses outside the United States and our international business, there have been changes both in India, places like Mexico, South America, Europe where we've had a change in midstream, and we've always come out better than we went in. So I would tell you that while you never know what the situation's gonna end, it is one of our core competencies and we have moved production and we have taken price where necessary. We continue to develop product on a regular basis that have more features that can carry that increase in product. So we think this is not one of the worst ones we've seen, and we'll come through it quite well. And as far as demand creation is concerned, we've decided to step it up in the first and second quarter just because of the uneasiness in the world to keep our product in the forefront, especially in China while it would be an easy place to cut because volumes are coming down. We think it's important to go and reinforce our position there as we develop new product for China specifically. And new advertising and look to move it on and continue to support around the world where we're growing. I mean, you have to consider that we grew 12% without China growing a lick in the past year. We would have told anybody that a year ago, and I know we've taken a hit throughout the year, but it's being overly Chinese-oriented. But and our growth projection for this year doesn't include any significant growth. If any in China. So it just shows you the strength of the brand and how it's moving there. So I think all of that puts us in a very good comfortable place as we go into this year. Even though there is a lot of uncertainty.
Adrienne Yih-Tennant: Thank you very much. Best of luck.
David Weinberg: Thank you.
Operator: Thank you. Our next question comes from John Kernan with TD Cowen. Good afternoon, guys. Thanks for taking my question.
John Kernan: Hey, John. Just curious on the CapEx spent at $700 million on the high end. Can you frame where that's going to us? And, you know, talk about, you know, what the normalized run rate is. I think this is closer to 7% of sales, I think. Out of your peers are closer to 2%. So just curious where this is going and how long this gonna remain at this level.
John Vandemore: Yeah. I thought someone might ask. Would really think about it in kind of two big buckets, if you will. You know, one is kind of more normal run rate investments that we make. It's stores, its technology. Obviously, we continue to build out our corporate campus here. And we always have some element of distribution center investment ongoing. Every now and again, you know, we have to fight off some of the bigger investments because their investments you have to make for ten, twenty years, not one year. And really there are two of those underway at the moment. One is a continuation of the China distribution center expansion that we've talked about. The other we mentioned in New York in the early part of the winter. You know, we need to build additional storage capacity in the US. We have a prime opportunity to do that adjacent to our existing facility. Which ultimately will drive a much more efficient relationship between bulk storage and processing. And unfortunately, we don't get to choose the timing of that. The timing of that is now. It's now in part because of our needs, but it's also the ability to take advantage of that location is unique. And so that's the big swing factor in the number. I think if you strip that out because it is probably a once in a ten-year investment. At least, see the run rate as much more normalized. The reason for the width in the range though is a little bit of, you know, timing considerations for that project and the project in China. Those are gonna be big determinants of how far we get against the plan this year. So we gave a bit of a wider range to illustrate, you know, in particular, those projects carry a lot of weight from a timing perspective. But if you set those aside, I think you'd see a much more normalized level because the material portion of kind of the above-trend spend is associated with China and the US.
David Weinberg: Yeah. I'd like to just also clarify some of the US spend. Right. They
John Kernan: Yeah. Yeah. We have
David Weinberg: Now two buildings we operate off-site, are quite expensive and cause us to move a lot of product around because of the growth we experienced after the pandemic and needed it. It couldn't get the space close enough. So you can imagine the inefficiencies in this time. The reason that it's so expensive in the US portion is this will become part of our joint venture. So own half of it. So we pick up the whole cost. And obviously, we have a joint venture partner, but we will own it. It will be part of that facility. We will get rid of two outside buildings, so we will have our own. This building will be phenomenal and will not require us to truck anything around to process and we'll sort of conclude our move into direct-to-consumer and ecom in such a big way. To be able to process and hold it all in one facility. The fact that we own it or own half of it makes it a little more expensive, but we'll make it that much more efficient as we go forward. I will point out in Europe, we ended up a little bit behind the curve simply because we grew so significantly that John said 25%. In a less reporting time, and we've converted there also to a significant piece of direct-to-consumer ecom. So we're processing significantly more and we've had a lot of pressure put on that facility simply because we're closing the Suez Canal in everything taking three more weeks and us having to process more efficiently and get product in earlier. So we're trying to catch up there, which means we have to build a new facility that we're building and then enhance existing facility things that we'll be able to move automation-wise to the new facility to process all this additional direct-to-consumer ecom. And the wholesale business that I personally think, will continue on this exaggerated growth piece for quite some time because we're doing quite well there. So it's a confluence of those two things that's a big investment that will come back to us, I believe, rather quickly and more efficiently in the next year or two.
John Kernan: Alright. Cool. That's helpful. One follow-up for you, maybe not related to the near term. You we're essentially at the $10 billion in total revenue. The 10% EBIT margin you generated in 2024, what's where do you see the long-term opportunities on the margin profile of the business? Is it in gross margin? Is it in selling and G&A leverage? How should we think about, you know, the $10 billion in top line and now the incremental margin opportunity long term?
David Weinberg: Well, I'll let John take most of that, but I will tell you a lot will depend on how fast we grow. You know, if you settle down and you with all the investments we've made, it would likely grow at a significantly faster rate. We don't think growth curve is done yet, so we may have to invest and go especially on a worldwide basis, but that's just my opinion.
John Vandemore: Yeah. I would also say that we're not we're not gonna count our $10 billion before they hatch. So we're gonna refrain from declaring success until we get there, but certainly, it's insight. And ultimately, I would echo David's comment. I think it can come from a lot of different elements on the P&L. But the key question is, how much growth is ahead of the business? We say this every year, you know, we're constantly investing to grow the business. We're opening new stores. Each store as it opens represents a significant point of, you know, near-term deleverage before it gets up to, you know, the point where it leverages and it contributes to the business as a whole. And that's just one illustration of the investments we make. When our growth trajectory subsides, you know, we'll be able to harvest a lot of that investment because there certainly won't be the need for as much. But that being said, you know, we're still looking to push the operating margin where we can against the backdrop of the business where we're operating. We'll look to sustain, you know, for 2025 what we achieved in 2024 and look for opportunities to grow up from there. While currently investing to grow the business. Because as you probably have guessed, we're not planning to stop at $10 billion. You know, we think this business has the opportunity to continue to grow certainly above trend in the market. And with our product, with our technologies, we think that's absolutely worth investing in.
John Kernan: Got it. Fly goes fly this weekend. I think next year, you're gonna need a Nick Siriani collaboration, but we'll see.
John Vandemore: We'll let you tell that to coach Reid.
John Kernan: Okay. Thanks, guys. Take care.
Operator: Thank you. And our next question comes from Rick Patel with Raymond James. Please proceed with your question.
Rick Patel: Thank you. Good afternoon. Can you talk about the shape of growth this year? Guidance seems to apply a modest acceleration as you move beyond Q1. Curious what you attribute that to and if there's anything we should be keeping in mind. From a modeling perspective in terms of lumpiness that may be caused by the wholesale channel?
John Vandemore: I think probably the biggest single factor there is going to be China. If you look at China last year, the first quarter was the last quarter of meaningful growth. And obviously, the business since that point in time had deteriorated, and so we're simply lapping that last quarter in China against a bit of a difficult comparison. We're also, you know, as David mentioned, timing can always shift on some of the early spring shipments, so we're watching that carefully. But I think China is probably the number one factor in there.
Rick Patel: Okay. And then can you also talk about your foray into basketball cleats and running? Do you see 2025 as the year where you hit the accelerator in terms of going after these opportunities? And if so, how do we think about, you know, the go-to-market strategy by channel?
David Weinberg: We're trying to be receptive from the marketplace. What we're doing now is sort of seeding around the world. We're getting our players in. We're introducing the product. We'll go as fast as necessary in the market will allow us to. We very rarely try to push against the marketplace. As we get more acceptance and our athletes get unknown. And we continue to move out. As we get more critical mass, we will move through all different kinds of expansion around the world. So it depends on how fast it's received, how well it does. Right now, it seems to be doing very well. It's doing very well outside the United States as far as our football, soccer is doing, and we're getting a lot more requests about basketball. I'm talking to basketball players on a professional level. So we're just at the beginning stage. What you see here is not a major push in 2025, although we do think it may have some upside as we go through the year.
John Vandemore: I would also add, Rick, that I think you'll see some other sports come into play. You know, looking at some of the sports we've operated in traditionally that we've reimagined in a way that I think will match more tightly with the recent performance sports we've launched. So I guess to say we're not done yet. We'll also continue to invest in awareness. I mean, one of the things we started, obviously, in 2024 was to build awareness around the newer categories. We'll continue to do that in a measured way so that we can, as David mentioned, take advantage of what the market starts to offer.
Rick Patel: Look forward to seeing the innovation. Thanks, guys.
Operator: Thank you. And our next question comes from Jesalyn Wong with Evercore. Please proceed with your question.
Jesalyn Wong: Thanks, guys, for taking all my questions here. Maybe just following up on EMEA's growth head up really well during the quarter. Were there specific categories that did well? And also following on Rick's question, the performance category, how big is it as a percentage of sales right now? I think over the medium term, as you grow this category, kind of what or how big of a contribution do you expect this to be? Thanks.
John Vandemore: Yeah. On the latter, we don't give kind of what we call category division level details. I would say today performance is not an overweight percentage of our business. It does somewhat depend upon what you call performance in the market, you know, relative to what others measure it as. What I would say is most exciting about the opportunity as we build it out is not only are we tapping into new categories with tremendous addressable market characteristics, we're reenergizing existing categories that we're in that also have sizable addressable markets. And then the ancillary benefit of that is they also provide, you know, a halo effect to the rest of the brand. They build awareness. They tap into new consumers who can then become more aware of what we offer broadly. So I would say that's one of the most attractive long-term opportunities we have. EMEA performed fantastic on the back of quite frankly performing fantastic through most of the year. It really was across the board. I think, you know, their embrace of the Skechers hands-free slip-in technology as well as other product and comfort focus technologies have been enormous. You know, we've seen it in wholesale. We've seen it in retail. That market just has continued to perform exceptionally well in the brand, in the technologies, comfort technologies continue to resonate at the consumer level.
Jesalyn Wong: Thank you. Maybe just one follow-up on China. I would imagine it's embedded to progressively improve throughout the year. Is there any point or are we expecting second-half kind of positive growth in China? Like, how are we thinking on China for the sequential cadence?
John Vandemore: Yeah. It's somewhat linked to Rick's question. You know, if you go back to last year, Q1 was more robust than any of the other quarters. And so we faced a more difficult comparison in the first quarter than we do the balance of the year. As a result, what we believe for the year is that we'll see, you know, improvement after the quarter, you know, not to the point where we expect to be a tremendous turnaround in the year, but, you know, the year should get better as time goes on. That just means, you know, the first quarter impact is the most acute.
Jesalyn Wong: Got it. Thanks, guys.
Operator: Thank you. And our next question comes from Krisztina Katai. Please proceed with your question.
Krisztina Katai: Hi. Good afternoon. Thank you for taking the question. I just wanted to ask on inventory and then the inventory composition overall. You said you made some progress in China quarter over quarter, but just how do you see the overall inventory levels, which are up 26% ending the year relative on to move inventory a little bit quicker? We just love to get some color there. Thank you.
John Vandemore: Yeah. I mean, the inventory is incredibly healthy. I mean, the biggest contributor to increased inventory year on year is merchandise in transit. Obviously, the biggest culprit there is Europe where we're seeing elongated transit times. If you compare that to where we were last year, we're still dealing with elevated transit times and that just requires more inventory. So that gives you a flavor of, you know, the nature of the inventory is not older inventory sitting around. It's stuff that's on the water that's bound for markets. And we feel really good about that. The comment relative to China was, you know, we at the end of last quarter, we said we were gonna observe what happened on Singles Day. Use that as an indicator of how quickly we need to act to move the inventory. You know, Singles Day was, at the end of the day, probably a bit more disappointing than we had anticipated. As a result, we took some actions to move units. We'll do that again in the first and second quarter. But the objective there is to get to make room for the new product, to make room for our comfort technologies to get those to the consumer. Ultimately, we think that's the best and most important thing for us to do for the business and for the consumer. So, you know, we'll take action to expedite, you know, some of the inventory out of the channel. To make room for new. And that's, you know, again, to David's comment earlier about care, that's something we do all the time. You know, we're managing inventory actively all the time. Plus, we were pleased with the progress we made in the fourth quarter, but there's more. And, you know, we'll get after it.
David Weinberg: Yeah. And it should be noted that, you know, this is a very specific decision on our part. To try to get as much into Europe as early as we could for our first quarter. First quarter is the largest quarter for us. In EMEA. And because of the closing of the Suez Canal in we're we try to move up everything to get all seven weeks of what used to be three weeks in transit in at the early part of the quarter. So it was either received or on its way in or will be received in the early part of the quarter, which is the big buildup. So it is all new maybe in times past, we would receive it a little later in the year closer to the end of the year and some after the new year, and some would have got on the water after Chinese New Year, which also was a little early this year, so everything had to be done. So all that together just means some inventory that we think is gonna power our growth and is not excess at all for EMEA.
Krisztina Katai: Great. Thanks for all that color. Best of luck.
Operator: And our next question comes from Chris Nardone with Bank of America. Please proceed with your question.
Chris Nardone: Thanks, guys. Can you just elaborate a little bit more on the drivers of the 31% U.S. wholesale growth during the quarter? And are you concerned at all about footwear inventory levels within the US wholesale channel? How are you expecting to navigate the potential pricing environment if the tariff situation worsens from here?
John Vandemore: Domestic wholesale continued to perform on the back of quite frankly everything that, you know, had driven it up to this point in time in the year, Chris. Got a handful of accounts that are doing extraordinarily well. We certainly got some lift from accounts in the prior year, I guess, two years prior now, who hadn't really embraced our comfort technology. So what we saw was the same source of growth on the domestic wholesale side. And have you actually even recently seen some extraordinary, you know, wholesale events from a marketing perspective that, you know, we think are very conducive to continuing to drive that channel for the brand. So brand takeovers and a couple of partners and that's performed really, really well. In terms of overall inventory in the wholesale channel, no concerns there. You know, we're watching it carefully. We're continuing to see really strong sell-throughs. Particularly with those accounts that are, again, embracing the comfort technologies. Like I said, done a couple of brand takeovers recently that performed really well. So great sell there. So nothing that gives us pause on the domestic inventory landscape that continues to do really well.
David Weinberg: Yeah. I think from a shipping perspective, we see no slowdown in people customers wanting to come on a wholesale level to pick up some way till later in January as the fiscal year is closed. But through the end of January into early February, we haven't had any indication from a shipping perspective that anybody's clogged or looking to slow down any.
Operator: And our next question comes from Tom Nikic. Please proceed.
Tom Nikic: Hey, guys. Thanks for taking my question. John, I believe you said the minority interest line would be down mid-teens this year. Is that predominantly due to the expectation that sales are down in China, or is there anything else that's driving that?
John Vandemore: You know, we're not gonna guide by line item by country. But I will say, you know, that is the most significant factor influencing the trend in minority interest. It's not a pure number or pure reflection of what's going on in China because there are other markets with minority interest impacting the business, but that's the main driver to the downside. Yes.
Tom Nikic: Understand. Okay. And then the inventory growth, you know, optically, it's high, and I know some of that's, you know, due to in transit. Excluding the increase in in-transit inventory, I mean, is it safe to say, you know, you'd be kinda feel that your inventories are in appropriate shape relative to the growth that you're expecting for 2025?
John Vandemore: Yeah. Absolutely. On-hand levels were I think they were up, you know, 12%. So a vast majority of the growth came out of, as we said, the in-transits. And I was just looking China, as we said, improved. It improved on hands pretty nicely. So yeah, I mean, again, we make mention of the in-transit inventory not because we enjoy talking about in-transit inventory, but it has been for a couple of quarters now the most significant factor influencing inventory increase. And again, you know, the Suez Canal crisis is a heavy, heavy contributor there. Because a lot of the in-transit probably, you know, I'd say 60% to 70% of the in-transit increase we saw year on year was precisely in Europe. So, you know, it's a reflection of the dynamics of the shipping market at the moment and I guess, in a way, geopolitical events. But, again, to David's point, good inventory. It's healthy inventory. It's order-back inventory. So, you know, we'll absorb that and get it into our system and process it out as quickly as we can.
Tom Nikic: Understand. Thanks very much, and best of luck this year.
John Vandemore: Thanks, Tom.
Operator: And our next question comes from Anna Andreeva with Piper Sandler. Please proceed.
Anna Andreeva: Great. Thanks so much. Good afternoon, and thanks for taking our question. We had a question on Comfort Technologies. You've seen some nice traction there for some time. How do you view the pipeline of innovation either for 1Q or as we go through the year? And are there any additional categories that technologies could be applied to? And just as a follow-up, ASP has been under slight pressure, I think, for both channels. Despite, you guys rolling out the new technologies in 2024. So should we expect the price to reverse in 2025 or what's been driving some of that decline? So much.
John Vandemore: Sure. Let me touch on the price dynamics. I would separate, you know, the US and international price dynamics, which I know you guys can't see as well. But, you know, obviously, FX plays a role on the international side. In the US, what we're seeing is as we spread the comfort technologies across more categories that includes a broader range. And in that, what you're seeing is while, you know, individuals are taking a they're doing so across a broader range of price points than existed previously. So you did see a little bit of ASP decline as a result of that. Also, as we've mentioned throughout the year, you know, as a technology, as a style becomes, you know, more familiar with the consumer, the anticipation is that it will be included in certain promotional events. And that was the case. You know, over the course of the year, we started to include some of the technologies in more promotional events. Because you block a fine line between, you know, protecting the price and irritating consumers who are visiting and appreciating, you know, promotions. I would say going into next year, I don't think at this juncture we're gonna see as much price erosion. I think you'll probably see stability. And maybe even a little bit of a price improvement for a variety of reasons. On the comfort technologies, you know, I would think about them very much as features that can be embedded across a wide array of products. And I think that's what makes them so special. They're not particular to a style or a category. They can be used broadly. There's a tremendous amount of continuing run rate with our Skechers Slip-In technology, particularly around, you know, the more integrated versions of that, which I think we showed to some of you guys in early winter. But also the other technologies continue to perform really well. Our ArchFit technology continues to drive growth. We have some newer technologies coming out, new products. They're still early, but they're gonna be hitting the market. And they're all focused on the same thing, driving and delivering comfort, you know, to our consumers. I would add the last thing is, you know, as we've grown new categories, performance categories that we haven't traditionally operated in. We've taken elements of those features and put them into that product, and that's we, you know, we're using the line comfort that performs, but that's because we're putting some of our comfort features into our performance footwear. And while it's not always the primary focus, that continues to reinforce at the consumer level, you know, our particular offering around comfort and how unique that is. And so I think it has, you know, continuing impact across the business, across the globe, and opportunities for us to chase what we've already delivered to the market and some new features as well.
Anna Andreeva: That's super helpful. I appreciate it. May I ask just one follow-up on gross margins? I believe you had expected freight to be a headwind in 4Q. Did you see that as a headwind? And should we expect any freight kind of instability as we go through the year or in 1Q? And thanks so much.
John Vandemore: Yeah. I mean, there was a little bit in Q4. It wasn't material enough for us to really call out. There will be a little bit more in Q1 and Q2. You know, the impact always depends upon the size and scale of the business. We think that then gets us past what was the, you know, the summer rate pressures coming from the initial elements of the Suez Canal crisis. So there's a little bit in there. We don't expect it to be a driving factor. But it's certainly something we're watching carefully.
David Weinberg: Yeah. It will also depend on alternate sourcing and where stuff has to come from as we move things around in the coming year. Also, there has been somewhat of a slowdown since a lot of people before Chinese New Year have brought a significant amount even into the United States. In anticipation of the new regime and its tariffs. So unless business holds up significantly, you would anticipate that there'll be some relief on the ships as they come through.
John Vandemore: You certainly have seen spot rates, you know, return to a more normalized level now. Not perfectly where we'd like them to be, but they've abated significantly. So that summer pressure.
Anna Andreeva: Alright. Thank you so much. Best of luck.
Operator: Thank you. And our final question comes from Sam Poser with William Trading.
Sam Poser: Thought you forgot about me.
Operator: Of course. How can we forget about you, Sam?
Sam Poser: I don't know. I have a couple here. One, can you give us some idea because of this the FX impacts and all of that, so we can back into it. Can you help us with what you think what you're planning the EBIT margin to be in the first quarter or a range of EBIT margin? That'll help us a lot because we have this big chunk as we did in the previous quarter of FX. So can you help us or help us with the other income line, and then we could back into it would
John Vandemore: Yeah. We're not we don't normally project other income impacts. That's why they're so painful when they arrive like they did in the fourth quarter. That's why we don't mind them as much when they go the other direction, but to know those, we'd have to have the impact that The FX impact we've cited really comes from the loss of top-line value and then the flow-through effect of that. I would say, you know, as we've looked at it, you know, this year, if you kinda projected out, it would be about a 20 to 15 to 20 cent impact. It's a little bit more acute in the first half of the year than in the back half, but, you know, not terribly so. Then the other impact is, you know, the tax rate that we talked about. You know, which could be as sizable as, you know, 25 to 30 cents depending upon, you know, where you establish the normal baseline rate. I think if you actually look at those relative to where the street is and you make adjustments for that, you'll see that, you know, what we're guiding is really a fairly comparable number, not perfectly so, but, you know, fairly comparable to, you know, the expectations we've talked about historically and what I think you all were baking in. Admittedly, those are big changes, but neither of which you we have the ability, you don't have to really control.
Sam Poser: I understand. I understand it for the full year. What I'm probably just trying to Q1 seems to have the most acute movement in it. And so the question is is in so in well, I'm just asking for Q1. I'm not asking for the full year explanation. I'm just trying to get an idea of where you're thinking this operating margin falls, and we can back into the rest of it that way because you're giving us piecing around it, but we don't wanna have a situation where you make or miss the number because you know, but you hit the gross you know, we just wanna have an idea of where you're thinking of a range of EBIT, and then we can sort out the rest of it. In the first quarter, I'm not I don't the rest of the year, we could back into because they're less acute.
John Vandemore: Yeah. Look, I say, I don't wanna get into specific on each individual item. I would say we certainly, at this point, expect to see SG&A deleverage in the first and second quarter and those get made up for the back end of the year. And you're probably talking about a plus or minus, you know, 150 to 250 basis point impact in the first quarter. Again, there's more to it than that. That's a very broad range. And quite frankly subject to a lot of other factors that we don't have a great line of sight into. I would also note there's opportunity to outperform that based upon the pace of shipping that we observe. So, you know, it could be that we end up much better than that as a reflection of some, you know, more encouraging shipping trends should those develop.
Sam Poser: Okay. And then lastly, China again, that seems like more of a headwind than what you may have anticipated a few months ago for the year. Again, in the first quarter, given it I mean, how much of is China really the big the big change in the revenue and everything else seems okay. Or is there something else there?
John Vandemore: Well, I think FX is the biggest overall change from where we would have been at the end of the last quarter. So the most significant impact we've seen globally is about FX. You know, I would say China it's fair to say China came in in the fourth quarter worse than we had anticipated. When we last spoke about Singles Day, we had yet to see the effects of kind of the end of the period and then the return window. That definitely came off worse than we expected. So I'd say Q4 and the early part of Q1, you know, 2025, it's definitely less encouraging than we had thought it would be. I would be very clear though, you know, I look around the rest of the world and things look, you know, very good. Not just okay, very good, you know. Continued strength in EMEA, continued strength in the Americas. Asia Pac excluding China looks fantastic. So I think the read on the business should be China remains challenged. It's a macro event. We're gonna work on what we can, but in a way, we need the market to get a little healthier. Absent that, the business is performing very, very well. Exceptionally well in Q4. Because China performed worse than we still, you know, on a constant currency basis, you know, blew through our guidance. So, you know, we're pretty encouraged quite frankly by what we see. Certainly, there's some noise associated with China and FX and tax rates, but absent that, if you're looking at the organic nature of the business, it continues to be very, very encouraging, and we're encouraged by that.
David Weinberg: Yeah. You have to remember, we grow almost $900 million with no growth in China. And if that continues through this year, we'll have made up about what China's volume is in less than a two-year period and growth continues through there. So on whatever metrics, you know, as we keep pointing out, we're not dependent on any one geography. Or any one category, and I think this proves it very much so. We continue to grow with China not growing, and we do believe China will come back and add to the growth as we go through the next year. Ego, we talked about increasing our creation demand within China and continuing to develop and put our new developments front and center into China, and we think that that will change the scorecard as we get through the back half of this year. So we have a lot of positives going into a very difficult marketplace.
Sam Poser: And last I'm sorry. One more thing. In Europe, is there is there any event given so much is in transit, is there any anything constraining sales given all the in-transit inventory in Europe, given the strength of the business?
David Weinberg: First of all, it's in transit at December 31st. And we did have some increases in inventory. So right now, just a lot of processing. To do, and we're very busy in those places, but we anticipate all the inventory that was anticipated for Q1 will be here.
Sam Poser: And was there any issue in the fourth quarter of the sales because of in-transits?
David Weinberg: I don't know what the exact reason was. We felt we'll go a little short in December. I think business sale, like anything else, we had a slight shift from December into January. Rather than the other way. So we did have to pick up some early in January. But on an overall basis for the season, I think we're gonna come out quite well. We did grow in I think it was the in the fourth quarter, had a very strong October simply because things were delayed and we were trying to catch all the inventory. So I think because we delivered so much in October on a relative basis, it moved things out through and into January, and now we have a significant demand pickup again, and all the inventory is there.
Sam Poser: Gotcha. Okay. Thank you very much.
Operator: And that does conclude today's question and answer session. Pass it back to management for any closing comments.
John Vandemore: Nope. No closing comments here. Thank you, everybody, for your time and look forward to speaking with you at the end of Q1.
Operator: Thank you. This does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time. Mhmm.